Operator: Good morning and welcome to Builders FirstSource's First Quarter 2017 Earnings Conference Call. Today's call is being recorded and will be archived at www.bldr.com. It is now my pleasure to introduce Ms. Jennifer Pasquino, Senior Vice President, Investor Relations. Please go ahead, ma'am.
Jennifer Pasquino - Builders FirstSource, Inc.: Thank you. Good morning and welcome to Builders FirstSource first quarter 2017 earnings conference call. Joining me on the call today is Floyd Sherman, Chief Executive Officer of Builders FirstSource; Chad Crow, President and Chief Operating Officer; and Peter Jackson, Chief Financial Officer. A copy of the slide presentation referenced on this call is available on the Investor Relations sections of the Builders FirstSource website at bldr.com. At this time, all participants are in a listen-only mode. Later, we will conduct a Q&A and instructions will follow. Any reproduction of this call, whole or in part, is not permitted without the prior written authorization of Builders FirstSource. And as a reminder, this conference call is being recorded today, May 9, 2017. Builders FirstSource issued a press release after the market closed yesterday. If you don't have a copy, you can find it on our website. Before we begin, I would like to remind you that during the course of this conference call, we might make statements concerning the company's future prospects, financial results, business strategies and industry trends. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from expectations. Please refer to our most recent 10-K filed with the SEC and other reports filed with the SEC for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. The company will discuss adjusted results on this call. We've provided reconciliations of non-GAAP financial measures to their GAAP equivalents in our earnings press release and detailed explanations of non-GAAP financial measures in the Form 8-K filed yesterday, both of which are available on our website. At this time, it is my pleasure to turn the call over to Mr. Floyd Sherman.
Floyd F. Sherman - Builders FirstSource, Inc.: Thank you and good morning. Welcome to our first quarter 2017 earnings call. I feel very good about the start we got on the year in our first quarter. This positive start was accomplished in spite of significant headwinds we faced during the quarter, such as weather, lumber inflation and labor. In spite of these challenges, our people delivered, in my opinion, outstanding results, of which I am very appreciative. I'll start with a brief update on our sales and recent events that are impacting our lumber prices. And then, I'll turn the call over to Chad, who will provide an update of our 2017 priorities. Following Chad, Peter will discuss our financial results in more detail. After my closing comments regarding our outlook, we will take your questions. Let's begin our discussion on slide 5, with an overview of the macro housing markets. In 2016, the new residential housing market reached almost 1.2 million total starts, with 782,000 single-family starts. This is well below the historic average, just growing now the levels we have historically seen in recessionary troughs. Continued labor shortages will continue to constrain housing growth from 2017. We believe there are still several years of growth ahead of us and are estimating mid single-digit growth in the single-family homebuilding market in 2017. Additionally, we believe the repair and remodeling market will grow in the low single-digit range. Our sales for the quarter were $1.5 billion. Sales, excluding closed locations, grew 10.2% over the first quarter of 2016 and were benefited by approximately 4.1% as a result of the impact of commodity price inflation on our sales. Sales volume, excluding closed locations and commodity inflation, grew approximately 7.2% in the single-family, new residential homebuilding end market as compared to single-family start growth as reported by the Census Bureau of 5.9%. Additionally, sales in the repair and remodel and other end market increased over prior year by 6.4%, offset by declines in multi-family sales. Turning to Page 6, one of our key growth priorities is to expand share in our higher margin, value-added products. Our sales of value-added products included manufactured products, windows, doors and millwork for the quarter increased 9.7% versus 2016. The investments we made in our manufacturing facilities in 2016 are paying off, with sales of our manufactured products growing 15.1% over the first quarter of 2016. We believe our company is well-positioned to help homebuilders mitigate the impact of well-publicized labor shortages and increased cycle times through our manufactured and value-added products across our natural footprint. We will continue to focus on growing our value-added products faster than our overall sales, and capital investments for growth will be targeted towards this opportunity. Please turn to Page 7, where we will cover some recent developments in lumber pricing and import tariffs. The Department of Commerce has announced its preliminary import duty on Canadian lumber averaging just under 20%. As you may know, Canadian lumber imports were taxed under the previous Softwood Lumber Agreement for a decade, and that agreement expired in late 2015. This preliminary duty is in response to the suit filed by U.S. producers when a new agreement was not reached. It is enforceable for approximately four months and will be replaced by the final finding of the ITC. It'll be paid including any retroactive penalties by the Canadian mills not directly by BLDR or any other LBM distributor. However, as you would expect, the tariff does impact our purchase price, as a final determination by the ITC is not due until late next year. There most likely will be a gap in both timing and possibly the amount of the final duty, including retroactivity and any additional anti-dumping findings. Year-to-date composite prices are up approximately 20% and have not moved significantly since the announcement. Uncertainty around rates and availability on imported products is having an impact on domestic lumber products, with buyers stocking up on more inventory. I'll now turn it over to Chad, who will discuss the impact of the resulting commodity inflation on our business, as well as an update on our 2017 priorities.
M. Chad Crow - Builders FirstSource, Inc.: Thank you, Floyd, and good morning. I'll begin on slide 8, with an overview of the impact of the higher lumber prices on our business. We believe lumber prices will remain considerably higher than last year, but likely not at current levels. Given the uncertainty around the final Canadian tariff, and the timing gap between the initial determination, which lapses in September, and the final finding by the ITC late in the year, we believe there could be significant fluctuations in the imported lumber prices during 2017. Domestic lumber will also have inflationary pressures as uncertainty around pricing and supply out of Canada continues. As you know, rising lumber prices can cause gross margin and EBITDA conversion ratio compression for the company in the short-term, but in the long-term higher prices benefit the company in higher revenue and profit dollars. Assuming today's prices, commodity inflation benefit to total net sales could be in the 5% to 6% range for the year. Turning to page 9, I would like to share the progress against our 2017 priorities, including our increased focus on profitable market share expansion and improved operational efficiency. First, we are committed to capturing profitable market share and growing faster than the market by leveraging our scale and strong customer relationships, as well as continuing our investment in our sales force. I am pleased to report that we had a strong start to the year relative to the growth in single-family starts and repair and remodel market growth. We also believe we have significant opportunities to increase the reach and penetration of our higher-margin value-added products. These products allow for manufacturing and assembly of homebuilding materials offsite, aiding homebuilders with the well-publicized labor shortages and extended lead times. Growth in total value-added products in the quarter was 9.7% over the first quarter of 2016, led by growth in manufactured products of over 15%. We are focusing on implementing best practices across the organization in order to drive incremental operational efficiencies. Our initial focus will be on logistics, back-office automation and using technology to improve integration with and service to our customers. Our continued focus on cash generation will allow us to fund these initiatives as well as continue to delever the balance sheet. We are on track to generate $145 million to $155 million of free cash flow in the year. Finally, we are only as strong as our people and therefore, we are committed to attract and retain the best associates in the industry. I am pleased to announce that we have been named to the 2017 Forbes Best Large Employers list. I will now turn the call over to Peter, who will review our financial results in more detail.
Peter Jackson - Builders FirstSource, Inc.: Thank you, Chad. Good morning, everyone. I will first discuss the current quarter results on slide 11. As a reminder, we have included adjusted figures to normalize for one-time integration, closure and other costs. For the first quarter, we reported net sales of $1.5 billion, a 10.2% increase compared to the first quarter of 2016, excluding the impact of closed locations, including an estimated 4.1% benefit from commodity price inflation. We estimate that our sales volume grew approximately 7.2% in the single-family new residential homebuilding end market and approximately 6.4% in the repair and remodel and other end market, offset by declines in multi-family. Our gross margin percentage was 24.5%, down approximately 50 basis points from 25% last year. The decrease on a year-over-year basis was largely attributable to the recent commodity price inflation drags on our margins. Although commodity price inflation generally benefits the company's operating results in the long-term, it can cause short-term gross margin percentage compression when prices are rising and margin percentage expansion when prices are falling. This is due to the short-term pricing commitments we provide customers versus the volatility of the commodity markets. Our SG&A as a percentage of sales decreased by 150 basis points on a year-over-year basis. The reduction was largely attributable to cost efficiencies, the decline in depreciation and amortization on acquired ProBuild assets, and commodity inflation cost leverage. Excluding the depreciation impact, cost savings and cost leverage benefit was 100 basis points. GAAP net interest expense in the quarter of $36.2 million includes $2.4 million of cost associated with the amendment of our term loan and revolving credit facilities. In addition, interest expense in the first quarter of 2016 was reduced by a $7.8 million gain on debt extinguishment related to the note exchange transactions executed in that period. Absent these expenses, adjusted interest expense was $33.8 million in the first quarter of 2017, a $9.2 million reduction compared to interest expense for the first quarter of 2016, largely as a result of a series of transactions that have reduced the company's interest expense. Adjusted net income was $12.1 million or $0.11 per diluted share compared to an adjusted net loss of $14.2 million or $0.13 per diluted share in the first quarter of 2016. This improvement was largely a result of cost savings realized, revenue growth and interest savings driven by debt refinancing. Our adjusted EBITDA of $76.1 million, which equated to 23% year-over-year growth, slightly exceeded our guidance range of $70 million to $75 million due to higher sales. Adjusted EBITDA grew $14.3 million to $76.1 million or 5% of sales compared to $61.8 million or 4.4% of sales for the first quarter of 2016. The year-over-year growth and improvement was driven largely by cost savings initiatives and revenue growth, offset by commodity-driven gross profit margin compression. We have provided an adjusted EBITDA reconciliation on slide 16. Turning to slide 12, we reduced debt outstanding last year by $116 million and we expect free cash flow generation will give us the opportunity to further reduce debt in 2017. We believe this will be driven by EBITDA growth and a focus on working capital efficiency, which is estimated to run between 9% and 10% of incremental sales. We expect to invest in our business through capital expenditures at approximately 1.2% of sales. We expect our current NOL tax asset should shelter us from paying federal cash taxes in 2017, assuming no material changes in shareholder base or tax code changes. As a result of the opportunistic capital market transactions executed over the last year and a half, cash interest should be reduced to approximately $130 million in 2017. Cost savings initiatives should benefit 2017 by approximately $25 million over 2016, and we expect one-time ProBuild integration costs of $20 million to $25 million. As a result, we expect to generate approximately $145 million to $155 million in cash flow for the full year 2017. Our business typically uses cash in the first half and generates cash in the second half of the year. Due to seasonal working capital needs, cash used from operations and investing in the first quarter was $145.8 million. This was in line with our expectations in annual guidance of $145 million to $155 million in positive cash flow. Turning to slide 13, total liquidity at March 31, 2017 was $612 million, consisting of net borrowing availability under the revolving credit facility and cash-on-hand. The company has executed multiple capital market transactions in the last year – year and a half and extended our maturity profile and improved our financial flexibility with accumulative go-forward annual interest savings of approximately $37 million. We will continue to evaluate opportunistic transactions to lower our interest expense or otherwise address our capital structure. In the first quarter, the company amended and extended its term loan credit facility to 2024, with an interest reduction of 0.75% or approximately $3 million annually, as well as extending its revolving credit facility to 2022. Our weighted average long-term debt maturity is currently 6.8 years, and our maturity profile allows multi-year runway of EBITDA growth and cash flow generation to reduce debt levels before refinancing is required. We are committed to further debt reduction and the terms of our debt allow the company to repay our most expensive bonds first, benefiting future free cash flow. We have made progress on our leverage ratio. The net debt to adjusted EBITDA ratio at year end March 31, 2017 was 5 times, a 0.5 turn reduction from 2016. We believe we should be able to move this ratio to 4 times or less by year end 2017. I would like to provide color on the second quarter of 2017 as well as how we are currently thinking about full year 2017. We expect all-in sales growth in the high single-digit range for the second quarter, with about half coming from volume and half from commodity inflation. Our market growth assumptions for the quarter include mid single-digit growth in single-family starts, low single-digit growth in repair and remodeling, and modest declines in the multi-family market. Given the current labor constraints that are putting a governor on growth, we are expecting the lowest growth rates in the busiest summer building season, as we approach a maximum number of starts the market can handle. Whether single-family starts can grow faster this summer, in our opinion, depends on the severity of labor constraints. From a gross margin perspective, we will continue to have headwinds from commodity inflation in the quarter, which could equate to gross margin percentage on a year-over-year basis being in line or down a bit more than 50 basis points, similar to what we experienced in quarter one. Cost savings are expected to continue. This would shake out to an estimated EBITDA growth of 6% to 12% year-over-year. Full year, our expectations for single-family starts are in the mid single-digit range, with multi-family down mid single-digits and R&R up low single-digits. We anticipate continued benefit from commodity prices on our sales. Given the uncertainty and potential fluctuations for the balance of the year in commodity prices, the year-over-year commodity-driven gross margin impact will negatively impact our EBITDA conversion rates. While in a more stable commodity environment we expect to convert sales to EBITDA at a 12% to 15% rate, we expect our conversion rate could be a bit lower in 2017. However, to reiterate, high lumber prices provide benefit to total EBITDA in the long range, but can impact our margins in the short-term. I'll now turn the ball back over to Floyd for his closing comments.
Floyd F. Sherman - Builders FirstSource, Inc.: Thank you, Peter. Turning to our outlook, I remain positive about the future of our company. I believe the housing industry remains on a trajectory of steady growth. The reports we are getting from our people in the field continue to be very optimistic about the current business conditions relating to housing construction activity. However, given labor constraints continue to impact the rate of single-family starts, we do expect a flattening of the seasonal curve during this stage of the recovery, as builders may approach a capacity of houses they can build in the busiest summer months. We are increasing our focus on growth with value-added products, national builders who are capturing share as well as leveraging our strong local relationships and investments in our sales force to grow faster than the market. Our company is well-positioned to be the building supply company of choice for builders around the country, thanks to our geographic reach, enhanced product offerings, national manufacturing capabilities and differentiated customer service. Our focus will be to leverage our national scale and sales capability to grow faster than the market with a focus on profitable growth and value-added products. These strengths, our scale and the leverage provided by our cash flow generation and debt reduction plans combined to make Builders FirstSource an industry leader with significant growth opportunities. I believe we will create significant value for our shareholders in the years to come. Furthermore, I attribute the success we have achieved so far to all of our hard-working and dedicated associates. They truly are the people who make this company go. Thank you. And I'll now turn the call over to the operator for Q&A.
Operator: We can take our first question from Trey Grooms. Please go ahead.
Trey H. Grooms - Stephens, Inc.: Hey, good morning, guys.
Floyd F. Sherman - Builders FirstSource, Inc.: Morning, Trey.
Peter Jackson - Builders FirstSource, Inc.: Good morning.
Trey H. Grooms - Stephens, Inc.: Just a quick question on the labor commentary there, Floyd. We're seeing apparently some enough labor constraints where it could start to limit the type of recovery we could see in – you said in the summer months, a flattening of the seasonal curve. Is that kind of across the board in your opinion as you look at your footprint geographically or is there areas that are more concerning than others, and if you can just kind of talk to that? And then also, I mean, it seems that we're still a long way away from normal demand for housing. If you can just kind of talk about how you think that impacts the cycle? I mean, is that going to shortstop us here for – in the recovery earlier than what we normally would see, or is it just going to be elongated curve? What your thoughts there?
Floyd F. Sherman - Builders FirstSource, Inc.: Yeah. Trey, we are seeing the labor situation pretty much across all areas of the markets that we serve. But we're building more houses than we did last year. We built more houses last year than we did the year before. We continue to find ways to solve the labor problem, find ways to alleviate the labor problems. Certainly, the labor saving products that we offer the builder is definitely helping out. You can see it from the sales gain that we had on those products, that the builders are turning more and more to the use of these labor saving products and they offer true value enhancements to the builder in getting their houses built. As tough as the labor situation is, I think somehow we're going to continue finding ways to attract more people into the labor force. And I really don't see us hitting a wall to where we can't build any more houses. What I do see happening is that we tend to get labor cut and it causes the flow on a jobsites to go on in surges, you get behind on the concrete, pile in (25:12) the concrete gets caught up and then you got the framing surge and then the finish out surge, the jobs don't run as smooth as they once did. But the end result is we continue to build more houses and we're getting the job done. I don't think that the builders are missing – at least not from what I'm hearing from our people in the field, and from talking with the various builders, I don't think they're missing any sales because of the labor issues. And so, yeah, I'm not as negative about labor as what the picture looked like a year or two ago. And I just see us continuing to find ways to get the job done.
M. Chad Crow - Builders FirstSource, Inc.: And I think it's just going to end up in a slower steady recovery, which is great. And I would also think that if you continue to see multi-family cool down, you will see some of that labor move over to the single-family side of construction.
Trey H. Grooms - Stephens, Inc.: Okay, makes sense. Thanks for that. And then looking at, I guess, the commentary around lumber. And, Chad, I think you mentioned in your prepared comments that you expect lumber prices to stay higher, but maybe not where they are today, and that it sounds like it's going to be fairly choppy. I guess what's behind that expectation? Are you seeing more supply come in, or domestically more – just kind of re-commissioning some lines or anything like that? What's behind your expectation after having a fairly rapid increase in lumber prices and then kind of stabilization? What's behind your thoughts around that?
M. Chad Crow - Builders FirstSource, Inc.: Well, a lot of it. It's just historically you never see flat lumber prices for very long. And when I say lower than they are today, I'm not talking significantly lower. I think, maybe, the framing lumber composite is around $430 right now, may you see it bounce around between $400 and $430 over the summer months, which is still a very good environment for us.
Trey H. Grooms - Stephens, Inc.: And that's embedded in some of the commentary you had around 2Q, is that lumber outlook?
M. Chad Crow - Builders FirstSource, Inc.: Yeah. Other than when I said the sales for the year might be benefited by 5% to 6%, that's assuming prices stay where they are today. If they dip a little lower than that on average then maybe we're on the low end of that inflation impact. But, yeah, generally speaking, that's embedded in the commentary.
Trey H. Grooms - Stephens, Inc.: Okay, got it. And then last one from me is on the manufactured products up 15%. Floyd, I think in your comments you mentioned that you made some changes there last year. I think you've touched on that in the past a little bit, but those are starting to pay off. That 15%, I mean, that's obviously very strong. But with the shortage of labor you're talking about in the backdrop there, obviously you would expect a continued out-performance from the manufactured product side of things, but what's the run rate there? I mean, is that 15% or was there something unique, was it really the comp on that side, which I don't think it was? But are you guys – what was going on in that quarter that was unique that – or should we continue to expect that level of growth?
Floyd F. Sherman - Builders FirstSource, Inc.: Yeah. I really can't sit here and say, Trey, that there's anything truly unique. I do think there's probably a couple factors that are coming into play. One is, and I believe alluded to in previous calls, that as we are now getting, let's say, more stable and we move through the integration process, our people are focusing more and more on how to build the markets, and certainly, there's a lot more management attention being given to building market share. We have invested. We're going to continue to invest in adding component plants. This year, we're slated to probably get started another five plants. We're getting more coverage in our markets. So all of these factors, including – yeah, I think we are the best at the roof truss, floor truss, wall panel business in the country. We aggressively make it a part of our package. It's all part of our selling value-added products. And I think our sales force is reacting to that message on a steadily improving basis. So I think that's all the reasons why we grew the way we did. We still have plenty of competition, there's a lot of good competition out there, but I think we're the best at the game and it's paying off for us.
Trey H. Grooms - Stephens, Inc.: All right. Well, that's really encouraging. Thanks, guys and congrats again on a great quarter and good luck in 2Q.
Floyd F. Sherman - Builders FirstSource, Inc.: I really appreciate you saying that, Trey, because, yeah, we worked hard in the quarter and it definitely showed.
Trey H. Grooms - Stephens, Inc.: Yeah, paid off. Thanks, guys.
Operator: We can take our next question from Will Randow. Please go ahead.
Will Randow - Citigroup Global Markets, Inc.: Hey. Good morning, guys, and congrats on the progress.
Floyd F. Sherman - Builders FirstSource, Inc.: Thank you, Will.
M. Chad Crow - Builders FirstSource, Inc.: Thanks, Will.
Will Randow - Citigroup Global Markets, Inc.: So I just was hoping to get a bit more granularity on your prior comments. Just simply looking at the lumber chart on slide 7, which has been focused on in a couple of prior questions, why haven't you guys raised full year 2017 cash flow guidance, given the gap up in lumber prices that I guess shouldn't have only caused net full year benefit to your commodity sales, but also should boost other pockets that are levered to lumber like the trusses business?
Peter Jackson - Builders FirstSource, Inc.: Well, we do invest in working capital at a rate of about 9% to 10% of sales. So as the increasing value of our lumber is recorded in inventory, we will see a headwind on the cash flow.
Will Randow - Citigroup Global Markets, Inc.: But, I guess, I have to work through the math, but what's implied by my question was there should be a net benefit, especially when you consider that not (31:46) just a quarter commodity, your truss business, for example, will see that benefit. So I assume there should be a net benefit, but am I wrong in that?
Peter Jackson - Builders FirstSource, Inc.: There is a net benefit in the long run. In the near-term, we do have compression in gross margins and we'll have to digest that as we go through the rest of this year. And as we get better clarity on where those pricings will be, we'll give you a better look at full year.
Will Randow - Citigroup Global Markets, Inc.: And then a follow-up on labor constraints. Builders really aren't talking about that issue the way they were over the past two years, meaning it's become less of an issue based on their commentary, but maybe that's wrong. So with that said, on value-added products, you really have two drivers there, one good and one bad. On the good side, builders, as you mentioned, need improved cycle times. If I remember correctly, you can take two weeks out of the rough for a home, maybe one to two weeks. And it's a 20-week cycle time, so reduce it by about 10%. On the bad, most builders are using less trusses as they shift down to lower ASP product, meaning entry level and move-down, at least that's what we're seeing in the field. So it appears that they may use less trusses, given their focus on the move-down/entry level buyer. So I guess how do you think about the tailwind of incremental structured panels and the potential headwind of builders pulling out (33:17) cost, including trusses?
Floyd F. Sherman - Builders FirstSource, Inc.: Well, I think there's going to be a continuation. Obviously, the builders aren't talking as much about the labor issues because we in the supply industry who build – really build the houses for the builders are finding ways to get the problem solved. And there are no longer is the holdup. I do not believe that builders are losing sales because of the inability to get homes built on a timely basis. But what they're finding is that in order to get this done, they've got to utilize more labor-saving products going into the home. And that's what they're doing. And we see this as a continual growth side of the business for us. There's more and more demand for the labor-saving products and value-add products going into the home. So I see that as a continually growing part of our business. I don't see it as a tailwind.
Will Randow - Citigroup Global Markets, Inc.: And if I could just sneak one last one in, some of your specialty products, call it, windows, doors, roofing, insulation, you had then single-digit growth, which was lower than overall company, and I assume that's because of lumber inflation, meaning skewing the growth. How do you feel about gaining traction in terms of growing, for example, the roofing business across stores as you extend ProBuild's product offering across the Builders FirstSource platform?
Peter Jackson - Builders FirstSource, Inc.: I think we feel really good about the growth. I think what you saw there in that number is the mix of where we sell and some projects that float in and out. But overall, the growth in that part of our business has been very healthy and strong. We feel good about it going forward.
Will Randow - Citigroup Global Markets, Inc.: Okay. Thanks, guys, and good luck for the year.
Operator: We can take our next question from Nishu Sood. Please go ahead.
Nishu Sood - Deutsche Bank Securities, Inc.: Thank you. I wanted to also ask on the lumber import tariff. You folks mentioned that in the industry some buying of – change, obviously, buying patterns, pre-buying around the price volatility. So I wanted to ask how have you folks handled that around the tariff and the price volatility, how did it flow through so far this year. And also, just as importantly, if this volatility is likely to continue, as you're pointing out, and which makes a lot of sense, how might that affect the 9% to 10% incremental working capital as a percentage of sales target? Would it put that at risk, potentially?
M. Chad Crow - Builders FirstSource, Inc.: To answer your first question, we were fairly aggressive earlier in the year leading up to the announcement that came out several weeks ago. You're limited to some degree on what you can do. You physically have to have room for the inventory. And then, we were able to negotiate some buys over several weeks. So we had a pretty good position going into the announcement. But like us and our competitors, we will all still be out there buying. You can't stock six months worth of inventory. So we're back out there buying again. Your second question, yes, it could be a slight headwind to working capital, but I still think, generally speaking, that 9% to 10% range is going to be close to where we would come in at.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. That's great. Very helpful. And then, I also wanted to – looking back to mid-year last year, there was some slowdown in sales. And at that stage, you folks always gave us the straight talk. And you talked about perhaps the internal focus on synergies and integration detracted from selling efforts. Now, if we look back, so if we think about the new kind of flattening out of seasonality, and perhaps it has more to do with kind of industry constraints, maybe we can look back at that sales slowdown last year and think about it in those terms versus the focus on the synergies and the integration. Now, obviously, the positive side of that is maybe you folks were a little bit too hard on yourselves last year, but then looking ahead, maybe it means that the bounce back in sales might not be as much as expected, if it's more of an industry-wide phenomenon. How do you folks think about that now in retrospect? And I guess the broader question is, have you have been continuing to refocus on generating the sales growth? How should we expect that to play out this year?
M. Chad Crow - Builders FirstSource, Inc.: Well, personally, I think the distraction factor last year was real because we were trying to measure our growth versus what we thought the end market growth was during the same period. So I think it was real. It's, in a way, theoretical, it's soft. It's hard to measure, but I feel like it's real. And so that's not really trying to compare it to the other part of your question, which is the flattening of the seasonal curve. We were really trying to compare it to what we felt like the market was growing at that point in time. So I think it was real. I think if you were to go out and hold the guys out in the field, they would tell you the same thing. We really tried to make 2017 a year with as little change as possible so the guys can focus on the business. Now, to your point, that doesn't mean we won't have a flattening of the seasonal curve, but I kind of see those as two different issues.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. Got it. Okay. And just last one on the repair and remodeling, nice strong sales growth there, kind of in the mid six percentage, I think. So, anything unusual there? Your year forecast still for the kind of 3% to 4%, I believe. So how should we think about the strong performance there?
M. Chad Crow - Builders FirstSource, Inc.: Yeah. I can't think of anything unusual there, pretty small piece of our business overall. And in a lot of markets, the winter weather wasn't too bad, so that probably weight into a little bit, but nothing unusual that comes to mind.
Nishu Sood - Deutsche Bank Securities, Inc.: Okay. Thank you.
Operator: We can take our next question from Alex Rygiel. Please go ahead.
Alex J. Rygiel - FBR Capital Markets & Co.: Thank you. Very nice quarter, gentlemen.
Floyd F. Sherman - Builders FirstSource, Inc.: Thank you.
M. Chad Crow - Builders FirstSource, Inc.: Thank you.
Alex J. Rygiel - FBR Capital Markets & Co.: Could you expand a little bit upon any geographic demand variances that you might have noticed in the quarter?
Floyd F. Sherman - Builders FirstSource, Inc.: No.
Peter Jackson - Builders FirstSource, Inc.: So just with those numbers. I mean we were up across most of the country pretty consistently, particularly single-family look very good for us. Certain regions, given their economic exposure, I think maybe were held back a bit. Oil impacted locations generally had a tougher go than some of the others.
Floyd F. Sherman - Builders FirstSource, Inc.: But if we look at our top 10 state, the seven out of the 10 had double-digit increases. The remaining three were high single-digit. So the top 10 state for us, that approximate two-thirds a little better than two-thirds of our total volume. So we had a lot of strength in the big producing states. I'm very pleased to see in Texas again double-digit performance. Houston is starting to come around real nicely for us. We had a real positive gain in Houston and a nice gain. So that market is very, very important to us and it's even as part of the state. And so we had a good mixture, all across the board, very good performances in our markets.
Alex J. Rygiel - FBR Capital Markets & Co.: And as it relates to the sales force expansion, did you see any net benefit in the first quarter? And if not, I suspect we'd be witnessing benefit in 2Q and beyond? And then also kind of transition into a little bit more detail on your outlook for SG&A leverage over the next couple quarters.
M. Chad Crow - Builders FirstSource, Inc.: Well, I'll tackle the first part of that. Yes, we track very closely the salesmen that we're hiring through this program that we implemented early last year. And with hiring any one, you're going to have some that really outperform and some that their performance is a little lacking, but we're tracking them closely. We're training them. And so, yeah, on a net basis, we're starting to see some really nice results from these guys. We're still kind of on the front-end of that. It does take a new salesman in this industry a while to build up a book of business, but feel good about the program so far. As far as SG&A, I'll let Peter tackle that one.
Peter Jackson - Builders FirstSource, Inc.: Yeah. As far as SG&A, I think that we'll continue to see leverage as the commodities stay higher and that lumber pricing works to our advantage in that space. But otherwise, I think consistent performance as we see the benefits of our operational improvements for the full year, but we continue invest in different areas of the business as we see opportunities.
Alex J. Rygiel - FBR Capital Markets & Co.: Thank you very much.
Operator: And we can take our next question from Keith Hughes. Please go ahead.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you. One detail question on tax, the $0.11 adjusted, (43:33) there was virtually no tax. What kind of taxes on an adjusted basis would you expect to be accruing the remainder of the year?
Peter Jackson - Builders FirstSource, Inc.: Yes. So, for this year, we would anticipate kind of that 40% tax rate, but we are not intending – we're not expecting to be a cash taxpayer this year because we will utilize our NOLs for the federal tax portion. A couple of assumptions there; one being that there's no fundamental changes in the tax code, and second that there aren't any significant changes in our shareholder base that could cause us to defer any portion of that NOL.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: But from an adjusted EPS, we'll see roughly 40% in second, third and fourth quarter.
Peter Jackson - Builders FirstSource, Inc.: Yes. That's our expectation.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay.
Jennifer Pasquino - Builders FirstSource, Inc.: There's virtually no net income, so you have very little tax accrual in the first quarter. It's seasonal business that follows that, so...
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Yes, I'm asking it because the adjusted EPS means (44:29) as you get bigger nominal (44:32) quarters.
Jennifer Pasquino - Builders FirstSource, Inc.: Yeah. So in Q2 and Q3, you'll see something more in line because we make more net income.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. And if you look longer-term, I know you've laid out what you're going to do for us in terms of debt reduction for this year. Assuming trends remain as you've kind of highlighted for 2017 and 2018, I would assume debt reduction would still be the main goal of the company in 2018, or could that change a little bit?
Peter Jackson - Builders FirstSource, Inc.: Well, I mean, we continue to look at the near-term goals for ourselves, right, like you mentioned, trying to get under 4 by the end of 2017 and to that 3 to 3.5 range within 2018. I think we've touched on this a couple of points. And I think we're consistently thinking this way and that's that we're going to reassess where we are in the market cycle to determine where the best direction for us will be. We continue to look at tuck-in opportunities in the interim. And when we get to that point, we'll consider what our options play out in front of us, but clearly debt reduction is a great opportunity for us to release value, and looking at this market at that point I think makes a lot more sense.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you.
Operator: We can take our next question from John Baugh. Please go ahead.
John Baugh - Stifel, Nicolaus & Co., Inc.: Thank you. Good morning and congrats on a good quarter. I was wondering if we could talk maybe longer-term, there's obviously a lot of moving parts short-term with margins, but as your value-add products grow, and you had given an overall 12% to 15% incremental, is that a number that stays in that range, improves? I guess, I'm asking can the value-added mix be accelerated or – because I believe ProBuild is well behind the predecessor company. I'm just kind of curious as to how that moves margin through time and what the incremental might be on that business versus the rest of your business?
M. Chad Crow - Builders FirstSource, Inc.: Well, you're right, long-term, and we have mentioned in the past that there were holes in the ProBuild side of the business on the manufacturing side. So that is the area we're targeting now and I think that's helping to contribute to the growth in that category. Typically, to get 12% to 15% incremental EBITDA, you're going to need gross margin expansion in the quarter and you're going to need the leveraging of your SG&A. If you have gross margin compression, as you know, it's really hard to get to that 12% to 15%. So I think if we can get past this period of inflationary headwinds, you will start to see gross margin expansion, part of that will be due to the growth in value-add. And I think we will kind of find that sweet spot to grow beyond the 15% incremental, probably some quarters you can, but I think long-term, that would be very difficult to consistently outperform that just largely due to the volatility that you do see in commodities over time. But, yeah, overall as our mix changes, our gross margin should strengthen. It wasn't that long ago, we were 25%, 26% range until we hit this period of inflation. So if we can see some stabilization in prices, I see no reason why we can't start getting back up to those levels.
John Baugh - Stifel, Nicolaus & Co., Inc.: And is there a constraint given proximity to a manufacturing site or wherever you're doing value add components? What would be – if you were 100% converted to the markets that made sense, what would be the possible mix of value-added? And I realize it could take some time to get there. And also in that question, would we expect to see perhaps rather than acquisitions maybe more CapEx in terms of building out those capabilities longer-term?
M. Chad Crow - Builders FirstSource, Inc.: Well, as you know, legacy BFS total value-add had gotten close to 50% of our business. That's manufactured products and the millwork category. I'm trying to remember the highest we've got to from a manufactured product. It was probably close to 25%. That sound about right, Floyd?
Floyd F. Sherman - Builders FirstSource, Inc.: Yeah.
M. Chad Crow - Builders FirstSource, Inc.: And so I think if we can get the entire footprint built out, as you said, it'll take time, but I think we can get back to those historical levels. You can ship trusses and panels 125, 150 miles. It's a better proposition shipping those than it is sticks. So to some degree, you are limited by the proximity of your plant.
John Baugh - Stifel, Nicolaus & Co., Inc.: Great. Thank you and good luck.
M. Chad Crow - Builders FirstSource, Inc.: Thank you.
Operator: We can take our next question from Mike Dahl. Please go ahead.
Matthew Bouley - Barclays Capital, Inc.: Hey. Good morning. This is Matt Bouley on for Mike today. Thanks for taking our questions. I just wanted to follow-up on the earlier discussion on SG&A leverage and the 100 basis points decline ex D&A that you called out. Should we expect any incremental investments going forward, any additional sales force investments? And how should that interplay with the cost efficiencies that you've called out? So the question is, I mean, should we expect a similar level of leverage going forward as you did in the first quarter? Thank you.
Peter Jackson - Builders FirstSource, Inc.: Well, I think it's definitely fair to say that we will continue to make investments. We're strong believers in the programs that we've been supporting and we see opportunities going forward for additional programs to drive operational improvement. So, clearly, we'll continue to invest. As far as leverage goes, we have every expectation that increasing lumber price will drive leverage for us. And we think there's a consistency there, although our business is quite seasonal, so we will respond to the growth requirements of the business with the appropriate head count. That said, I think it's fair to expect leverage out of SG&A as we grow, may be not at 100 points, but improvement.
Matthew Bouley - Barclays Capital, Inc.: Okay, understood. Thank you. And then I wanted to ask a little further about the strength in manufactured products. Do you sense that you're gaining share with existing customers as a result of the labor shortage? Or how much would you say is due to this true market expansion or gaining new customers as you kind of expand capacity to different regions? Thank you.
Floyd F. Sherman - Builders FirstSource, Inc.: We definitely can see we are adding new customers and we are taking a larger share of existing customers' wallet. It's a combination of both. On the newer customers, because you're starting with a new customer, it takes a while for those volumes to build up, but nevertheless, it is adding significantly to the progress we're making with our component products.
Matthew Bouley - Barclays Capital, Inc.: Okay, got it. Thank you very much.
Operator: We can take our next question from Matt McCall. Please go ahead.
Matt McCall - Seaport Global Securities LLC: Thanks. Good morning, everybody.
Floyd F. Sherman - Builders FirstSource, Inc.: Hey, Matt.
Peter Jackson - Builders FirstSource, Inc.: Good morning.
Matt McCall - Seaport Global Securities LLC: So I don't want to knit pick these numbers too much. But I think you said your multi-family outlook is now down low single-digits, flat (52:46) in my notes it's flat to down, single-family also ticked a little bit lower from what I write, 7% to 8% to up mid single-digits. I know it's just a couple of points here and there. But I guess the question is, if labor is the main issue for single-family, and multi-family declines are going to provide more labor for single-family, Chad, I think you said that, is there another constraint that's pushing that single-family outlook a little bit lower from what we had last in our notes?
Jennifer Pasquino - Builders FirstSource, Inc.: I'm sorry. So you're asking if we're dropping our guidance on single-family?
Matt McCall - Seaport Global Securities LLC: Well, the last time I had in my notes is single-family of seven days. And I think you just said mid-single, and maybe that's the same thing, maybe you'd haven't changed it. But when I saw it, it looks like multi-family is down just a little bit more, the outlook is down. Maybe I misreading or misinterpreting what you're saying, but -
Jennifer Pasquino - Builders FirstSource, Inc.: Yeah, I think we've always said multi-family is going to be down and I think we said mid to mid-high. So, (53:50)
M. Chad Crow - Builders FirstSource, Inc.: We haven't changed our forecast at this point.
Matt McCall - Seaport Global Securities LLC: Okay. All right.
Jennifer Pasquino - Builders FirstSource, Inc.: Yeah.
Matt McCall - Seaport Global Securities LLC: All right. So misinterpret. So we talked a lot about lumber, maybe could you talk to us a little bit about some of the product categories from a price, from a cost perspective? Just the trends you're seeing from an inflation perspective just in general.
Floyd F. Sherman - Builders FirstSource, Inc.: I think most of the other products where price increases have been announced by the industry is pretty much difficult for us, but it's running very low single-digits for the most part. And many of those increases were announced prior to the end of the year, so that you had chance to get those built into your pricing models. Typically, you get some anywhere from 60 to 90 days advance notice of it. And so there wasn't much of that and that showed up in the first quarter, but it's been pretty much as usual. And I don't see anything really unusual going on in this area. So...
Matt McCall - Seaport Global Securities LLC: Okay. All right. That's fair. Thanks for that. So the last one I had, the outlook for inflation, are you expecting the pressure to continue in the back half or – I think Chad, you said prices could come down a little bit or the potential for us to get a better price cost match and thus better incremental margin in the back half.
M. Chad Crow - Builders FirstSource, Inc.: Yeah. I think that's accurate. And as you know, we do have pricing commitments with many of our customers that can – that you can go out as much as 90 days. And so as we get the opportunity to reset those at more current market prices, you should see improvements in the back half of the year.
Matt McCall - Seaport Global Securities LLC: Okay. So, Peter, your comment on the normal EBITDA conversion being a little lower than the 12% to 15%, maybe that's the case for the first half, back half is in that range, maybe a little better, or – is that the way to think about it?
Peter Jackson - Builders FirstSource, Inc.: Yeah. That's correct. So we would see pressure until it stabilizes and then catch back up to Chad's point.
Matt McCall - Seaport Global Securities LLC: Okay. Thank you, all.
Operator: We can take our next question from Nick Coppola. Please go ahead.
Nicholas Andrew Coppola - Thompson Research Group LLC: Hey, good morning.
M. Chad Crow - Builders FirstSource, Inc.: Morning, Nick.
Nicholas Andrew Coppola - Thompson Research Group LLC: So I just wanted to follow-up on the earlier conversation on buyers stocking up on lumber inventories. How big of a drag do you think that would be on Q2? Do you expect that there would be a meaningful impact there?
M. Chad Crow - Builders FirstSource, Inc.: What do you mean by a drag on Q2?
Nicholas Andrew Coppola - Thompson Research Group LLC: So buyers worked on inventories rather than buying or getting new shipments?
M. Chad Crow - Builders FirstSource, Inc.: I think it'll be a drag in Q2, my concern right now on Q2 is, as we continue to buy to replenish and we're kind of bumping up against our ability to reset prices with our customers, our average cost is going to start creeping up. And so that's the biggest concern I have for Q2. It's not a quantity issue whether we're going to run out of lumber, it's just the timing of our buys versus our ability to reset prices.
Nicholas Andrew Coppola - Thompson Research Group LLC: Okay. All right. And then, I guess, I'll shift gears here. So you talked a bit more about your greenfield strategy. I saw five new manufacturing facilities and one new millwork facility for 2017. So what is your decision-making process look like there? And then how you think about greenfields versus M&A over the longer-term?
M. Chad Crow - Builders FirstSource, Inc.: Well, greenfield versus M&A largely boils down to – we get feedback from our folks out in the field on whether they're seeing the demand, for example, a truss plant, and where we don't have one. As you look at that market, you determine are there any acquisition opportunities that maybe we have discussions with. So, as Jim said earlier, it's a buy versus build decision at that point. And if there are no candidates in the market or none that are willing to sell, then you would turn to greenfielding, but generally that process starts with our operators out in the field coming to us and saying, hey, I really feel like we have an opportunity for a millwork workshop here, a truss plant here, and then going through that process that I just described.
Nicholas Andrew Coppola - Thompson Research Group LLC: Okay. Thanks for taking my questions.
M. Chad Crow - Builders FirstSource, Inc.: You bet.
Jennifer Pasquino - Builders FirstSource, Inc.: Thanks, Nick.
Operator: And unfortunately, we were out of time for any further questions today. So I'll turn the program back over to Floyd Sherman for any additional or closing remarks.
Floyd F. Sherman - Builders FirstSource, Inc.: Okay. We appreciate everyone joining the call today. We look forward to updating you on the progress of our business initiatives in the months ahead. If you have any follow-up questions, please don't hesitate to give Jen Pasquino a call. Thanks, and have a great day.
Jennifer Pasquino - Builders FirstSource, Inc.: Thank you.
Operator: And this does conclude today's program. Thank you for your participation. You may now disconnect and have a great day.